Operator: Good afternoon, ladies and gentlemen, and thank you for holding. Welcome to Dyadic International’s Year-End 2012 Financial Results Conference Call. At this time, all participants are in a listen-only mode. My name is Brian, and I will be your conference coordinator today. As a reminder, please note that this call is being recorded. At this time, I would like to introduce your host for today’s call, Adam Morgan, Dyadic’s Vice President, General Counsel and Business Development.
Adam J. Morgan: Thank you, Brian. Good afternoon and thank you for joining today’s conference call to discuss Dyadic’s financial and operating results for the year ended December 31, 2012, which were reported in the press release issued earlier this afternoon. The press release and Dyadic’s year-end financial statements have been posted to both the Dyadic and OTC Markets websites. I am joined today by Dyadic’s Chairman, President and CEO, Mark Emalfarb and our Vice President and Chief Financial Officer, Michael Faby. Mark is currently in New York on route to the Netherlands where he will be speaking next Wednesday in Rotterdam at the World Biofuels Markets conference, which is one of the industries premier events. On today’s call, Mark will update you on recent developments as well as the highlights of the 2012 fiscal year and Mike will review Dyadic’s financial results for the year in more detail. We will then give you an opportunity to ask questions. Each caller will be allowed one question and one follow-up question in order to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Mark will then provide his closing comments. Before we begin, we would like to remind you that certain statements made in this conference call may be forward-looking statements, which involve risks and uncertainties that could cause Dyadic’s actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Except as required by law, Dyadic expressly disclaims any intent or obligation to update any forward-looking statements. I will now turn the call over to our Chairman, President and CEO, Mark Emalfarb.
Mark A. Emalfarb: Thank you, Adam, and I want to thank all of you for joining us today on today’s call. 2012 was a very good year for Dyadic on a number of fronts. First, Dyadic was profitable for the full 2012 fiscal year. Our total revenue grew by 52% which was a result of increases in all three segments of our business. The financial high point of the year was clearly the expansion of Dyadic’s non-exclusive license agreement with Abengoa Bioenergy. There were other significant accomplishments during 2012 as well. We entered into a research and licensing collaboration for food applications and repeatedly demonstrated the capabilities of our enzymes in various internally and externally funded R&D projects for a number of diverse applications such as biofuel, animal health and nutrition, food, and biopharmaceutical. We also launched a new pulp and paper enzyme product and added to our patent portfolio with four new patents. Before I discuss these accomplishments in more detail, Mike will provide you a general update on the company’s cash and debt positions.
Michael J. Faby: Thank you, Mark, and good afternoon everybody. Currently, Dyadic has approximately $4.2 million in cash and cash equivalents. In addition to any new sources of cash generated by ongoing operations, we are also expecting to receive $2.5 million in July from Abengoa Bioenergy as the final payment of the total $5.5 million license fee for the expansion of their license. We are comfortable that our current cash position in combination with cash generated from pending and future transactions will be more than sufficient for Dyadic to conduct its operations for the next several years. Dyadic also currently has $8.4 million in debt, all of which matures on January 1, 2014. $7 million of this debt is convertible into Dyadic common stock at conversion prices of either $1.82 or $1.28. We are also comfortable that Dyadic’s debt would either be converted into common stock repaid or extended to a later maturity date. We have already begun to see a conversion of a small amount of Dyadic’s convertible debt by one note holder in January and hope to see more conversion this year. For those note holders, we do not have the right or desire to convert their debt. We feel confident that most if not all of these note holders will be willing to extend their maturity dates for at least one year if requested by Dyadic. As always, we are committed to avoiding the dilution of our stockholders and therefore intend to rely exclusively on the funds generated by Dyadic’s operations and growth of its business segments without having to raise additional capital at any time in the foreseeable future. Now, I will pass the call back to Mark for more 2012 highlights and recent updates.
Mark A. Emalfarb: I would like to begin by discussing some of our licensing activities. As both Mike and I mentioned earlier, Abengoa Bioenergy expanded its license agreement with Dyadic in 2012. As a result, Abengoa now has non-exclusive worldwide rights to use Dyadic’s C1 platform technology to develop, manufacture and sell enzymes and revile biomass into sugars for the production of fuels, chemicals and power. We expect that 25 million gallon facility that Abengoa is currently building in Hugoton in Kansas will utilize Dyadic’s C1 technology and will be one of the first commercial cellulosic ethanol facilities in the world. This facility is on schedule to be completed by the end of 2013 with some ethanol production occurring at that time and full production expected in early 2014. Once these events occur, it will likely trigger Abengoa’s obligation to pay Dyadic a milestone payment as well as royalty payments. The same will be true for additional facilities that Abengoa may build globally which use the C1 technology license from Dyadic. The transition from the R&D phase to the commercialization phase were Dyadic begins receive royalty payments is the ultimate world in all of our licensing relationships. We believe that the opening of Abengoa Hugoton facility will be the first to what we expect would be many royalty generating opportunities in the coming years as their partners approach commercialization. Our other non-exclusive licensee in the biofuels area Codexis has recently undergone significant changes to its organization and in its relationship for its former exclusive biofuel partner Shell. In addition to our current license agreement with Codexis, we are actively exploring additional ways that are companies can work together to optimize our respective technologies and resources and flowing out leverage as significant investment of hundreds of millions of dollar production has made in advancing the C1 technology. Regarding the pipeline of new research and licensing collaboration we discussed last quarter, we are expecting to finalize one such agreement with a major company by the end of the first quarter or beginning of the second quarter at Blair. If we are successful in completing this transaction, we will expect Dyadic’s 2013 financial results to equal or exceed those we achieved in 2012. Now I'll shift to discussing our research and development business in the Netherland. Our research and development revenue was up 25% in 2012 do large to the number of our R&D projects were funded by third parties in our research and development center in Netherland. In addition to these third-party funded R&D projects, Dyadic Netherlands also was honored to be selected to participate in two multidisciplinary research consortia funded by the European Union. Lastly, Dyadic Netherlands made considerable progress in 2012 by demonstrating significant improvement in Dyadic’s biofuels enzymes. Back in July, Dyadic’s research team in the Netherlands reported data from head-to-head comparisons, they conducted with other leading biofuel enzymes. These comparisons demonstrated Dyadic’s enzyme mixture AlternaFuel CMAX3 equaled and under certain conditions exceed the performance of these competing enzymes and converting biomass into fermentable sugars and the production of biofuels and bio-based chemicals. Since that time Dyadic Netherlands has continued to enhance our C1 technology to bring us newer, experimental version of AlternaFuel CMAX3 which we’re calling CMAX4 beta. CMAX4 beta is showing significant improvements over AlternaFuel CMAX3 and its ability to liquefy and turn feedstocks into fermentable sugars at low enzyme dosage and has shown better performance with (inaudible) treatments resulting in the release of greater amounts of C5 sugars. AlternaFuel CMAX3 is currently in being tested in number of major companies around the world, we’re in the process of sharing the results with us for further discussion and analysis. Now I will update you on our ongoing research with third parties. Dyadic Netherlands had a very successful track record this year in achieving positive results for substantially all of its research and development customers. As a result, many of these ongoing R&D projects have been extended. Our animal health and nutrition licensee successfully concluded the first phase of its research to determine the feasibility of developing a next generation commercial enzyme for animal feed using Dyadic C1 technology. They are now in the development phase where they are finalizing the C1-derived enzymes they will bring to market. As previously indicated, our contractual relationship with our animal health and nutrition licensee provide for a milestone payment and royalties once they commercialize their first C1-derived product which is expected to commence in 2006 or earlier for countries who may have fewer regulatory requirements. We also expect to conduct additional R&D projects with our food licensee, the production of other food enzymes which will be accompanied by license to user manufacturer those enzymes. In the biopharmaceutical field, the significant progress made in 2012 by Dyadic Netherlands has let to a second extension by Sanofi Pasteur or the feasibility phase of its R&D project in order to continue working towards the goal of using the C1 technology to produce the desired protein necessary for use in certain vaccines. Another source of research and development revenue over the last few years has been the participation of Dyadic Netherlands with several multidisciplinary consortia. They are conducting research sponsored and funded for the European Commission. The most recent example of these sponsored research projects are the Obama Medic Project and the HealthBread Project. Obama Medic Project is a three-year research project coordinated by Proctor and Gamble, Technical Centers Limited in the United Kingdom that will use environmentally friendly technologies or green chemistry to convert the renewable agricultural ways for malignant in the high valuable sustainable commercial product such as adhesive detergents to cosmetics. The HealthBread Project is two-year project to develop whole grain and white breads with improved nutritional value, taste and product quality. Together, these projects will provide Dyadic Netherlands with just over €0.5 million to provide its enzyme expertise to these projects and process gain valuable and size of the capabilities Dyadic C1 technology and allow Dyadic to expand its enzyme leverage which may be leverage further market opportunities. In 2012, Dyadic Netherlands also successfully conclude its four-year long DISCO project. We're identifying develop more productive and cost-effective enzymes for the production of bioethanol, lignocellulosic raw material. Among other benefits we've recognized as part of the DISCO project was at Dyadic's biofuels enzyme, AlternaFuel CMAX was successfully verified by the fellow project participant SEKAB and the ethanol demonstration plant in Sweden. Our significant investment in research over the years for the development enhancement of Dyadic C1 platform technology, the C1 gene live of producing increasingly more productive fungal strains and novel enzyme for biofuels and bio-based chemicals is also being leveraged for years in developing new enzymes with Dyadic as well as licensees and customers such as the animal nutrition in three areas. The ongoing research is being conducted at Dyadic Netherlands which is using Dyadic optimized C1 high sales trends as well as C1 low sales with our white strain, which is proven to be viable technology enables rapid development a pure cost efficient enzymes for Dyadic and its collaborators. Now on to Dyadic’s industrial enzyme business, sales of our industrial enzymes were up 6% in 2012 as compared to the prior year. We’ve made very good progress in deepening relationships with our key customers, as demonstrated by the 30% increase in 2012 sales for our top ten customers while also improving the consistency of our product margins. We’ve also increased the number of customers who purchase our enzymes. A substantial portion of our enzyme business continues to be in the field of animal health and nutrition, which is one of the fastest-growing segments in the industrial enzyme industry as a whole. Going forward, we believe that some of the main applications for Dyadic’s industrial enzyme technology are not only being out in the health and nutrition, but in human food which includes brewing and begging, fossil fuels and bio-based chemicals. As part of our customer development process, we’re continuing to explore opportunities to collaborate with additional companies, distributors and formulators in a variety of industrious throughout greater market access, regulatory expertise and geographic presence. In order to utilize our (inaudible) new products and cost effectively, expand the use of our technologies in the myriad of products they can help produce. I will now turn the call over to Adam for a brief update on our professional liability litigation.
Adam J. Morgan: Thanks, Mark. In our professional liability lawsuit against Dyadic’s former outside council, we recently engaged the services of both legal and forensic accounting experts in preparation for trial. We will surely be making a request for the court to set a trial date which we expect will be sometime in early 2014. As a result of the engagement of these experts, Dyadic expects to incur higher litigation related cost in 2013 than in 2012. However, if the specific pending license agreement that Mark mentioned earlier is consummated. We believe that the upfront payment from that transaction will far exceed these incremental expert cost and keep Dyadic in a position to meet or surpass 2012 financial results. As we previously indicated, council for Dyadic in this litigation are representing Dyadic on a contingency basis and are not entitled to receive any further attorneys fees. I will now turn the call back to Mike to take you through the details of our financial results for the 2012 fiscal year.
Michael J. Faby: Thanks, Adam. Before reviewing the 2012 year end financial results, I would like to again refer you to our 2012 year end press release and audited financial statements which are posted on the Dyadic and OTC market website. Overall, for the year ended December 31, 2012 revenue was up from 2011 largely because of the upfront license fee we recognized from Dyadic’s non-exclusive licensee Abengoa Bioenergy for the expansion of its rights under its license agreement with Dyadic. Total revenue for the year ended December 31, 2012 increased 52% to $15.6 million as compared to $10.3 million for the prior year. Net product related revenue for the year increased 6% to $7.8 million and $7.4 million in the previous year. Net margins on the product related revenues are continued to be strong and show improvement year-over-year. License fee revenue for the year ended December 31, 2012 increased more than five fold to $5.5 million as compared to $1 million for the prior year as a result of the upfront license fee recognized from the Abengoa Bioenergy expansion. Research and development revenue increased 25% to $2.3 million for the year ended December 31, 2012 as compared to $1.8 million for the same period in the prior year. 2012 gross profit increased 121% over the prior year in absolute dollar terms. General and administrative costs for the year decreased by 15% from the prior year do larger to decreases and litigation related cost. These decreases were partially offset by a provision for doubtful account of approximately $300,000. Sales and marketing expenses decreased by $411,000 or 37% as a result of employee separations and related stock-based compensation averages. Research and development cost for 2012 decreased from the prior year as a greater portion of Dyadic’s internal resources are being devoted to research and development projects funded by third parties. In August 2012 Dyadic received $525,000 for the settlement of certain of its claims against to defendants in Dyadic’s professional liability lawsuit against its former outside legal counsel which is included in other income and expenses for the year. Net income for the year ended December 31, 2012 was $1.3 million or $0.04 per basic and fully diluted share as compared to a net loss of $4.7 million or $0.15 per basic and fully diluted share for fiscal 2011. Please note that the excluding stock-based compensation, non-recurring litigation and arbitration cost Dyadic’s income from operations for the year would have been $2.9 million or $0.09 per basic and $0.08 per fully diluted share as compared to a net loss of $1.6 million or $0.05 basic and fully diluted share for fiscal 2011 using the same assumption. At December 31, 2012 unrestricted cash and cash equivalents totalled $4 million as compared to $3.7 million at the end of 2011. This increase as I mentioned earlier is partially due to Dyadic’s recede with the first $2 million of the total license fee of $5.5 million for the expansion of Dyadic’s license with Abengoa Bioenergy in April 2012. At December 31, 2012 total debt remained unchanged at $8.4 million. Lastly, we are providing no specific guidance on this conference call with regard to future financial results. At this point, I would like to turn the call back to our operator to take your questions.
Operator: Thank you. (Operator Instructions) And we’ll go right to our first question from Richard Deutsch with Ladenburg Thalmann.
Richard Deutsch – Ladenburg Thalmann & Co.: Yes, thank you for taking my call here. I have a few questions, but I’ll just take one and go back into the queue. On this pending deal that you expect to close over the near term, can you tell us in what field that this opportunity is projected to be in?
Mark A. Emalfarb: Yeah. We can tell you but we’re not going to, but not that we don’t want to, but I – we expect that we will be telling you specifically the field and in fact the name of this international company, and it is a very large company, and it looks like a great opportunity for us and a great opportunity for them. So be patient and hopefully that will be coming in the next 30 to 60 days.
Richard Deutsch – Ladenburg Thalmann & Co.: Well, is this an R&D or an actual license expected?
Mark A. Emalfarb: It’s an actual license.
Richard Deutsch – Ladenburg Thalmann & Co.: Okay. All right, thanks. I will go back into the queue.
Operator: And our next question comes from William Bain, Private Investor.
Unidentified Analyst: Hi guys, thanks for the call. I just wanted to know if you could kind of breakout what happened in the fourth quarter. It looks like you lost money. If you could just elaborate on that, I’m looking at your financials that you fell for the nine months ended September and I’m comparing for the financials that you posted today, I think it would be helpful going forward if you do breakout each quarterly – each quarter’s progress like you had in prior months or prior quarters going forward for the fourth quarter for example.
Mark A. Emalfarb: Yeah, Mike, you want to take that?
Michael J. Faby: Yeah, I will. Thanks. Thanks William, I appreciate your question and we certainly appreciate the feedback. The fourth quarter we did have a loss as you would expect and that loss was in line with the third quarter and also the first quarter.
Unidentified Analyst : Okay. You guys be breaking out, will you be publishing like in the final financial statements. You breakout more information on the fourth quarter specifically or?
Michael J. Faby: That is certainly something that we have considered and we continue to consider each time. And I would expect that will probably doing that.
Unidentified Analyst : Okay. Thanks very much.
Operator: (Operator Instructions) We will go next to Brain Hatch, private investor.
Unidentified Analyst : Thank you. My question is simply, I know it’s in the report that you’ve made it is about $5.5 million that recognized from Abengoa license lower than $0.5 million in litigation recovery and my correct to assume that if you find the few licensing deal and be north of $6 million. 
Mark A. Emalfarb: Well, an interesting assumption, so it’s probably in that area.
Unidentified Analyst: Thank you.
Operator: We will go next to (inaudible).
Unidentified Analyst : Yes, Mark. Can you expand on the status of the R&D relationship with Sanofi I know last time we were on the call you said it was moving forward, and you are happy with the progress. But can you elaborate any more on kind of what the status is or what the progression may be?
Mark A. Emalfarb: Yeah, again we mentioned last time that we were getting good expression, and we were getting to the point when we needed to try to purify the vaccine, and so we are still doing that, we are making progress, we’ve had obviously some success in doing that, but we're learning the purification process in a different way with a different protein. So we're just trying to get enough protein purified and so we can give it to Sanofi so they can actually do their studies and get us results that hopefully drive home the 1) the feed that we would get for doing that and 2) hopefully even deepen further relationships. So things are still progressing and we're still making progress, science and we are one of the challenges and we overcome them, and we think that things are going well, but we would still don't have the protein and enough quantity after the purification yet that gives Sanofi what they are looking for, but we're working on that as we speak. And I expect to have that hopefully in the not too distant future.
Unidentified Analyst: Okay, thanks.
Operator: And our next question comes from Robert Hoffman with Princeton Opportunity Partners.
Robert Hoffman – Princeton Opportunity Partners LLC: Thanks for taking the call. You make the comment I’m trying to – in the beginning of your press release you talk about the AlternaFuel CMAX and equal or exceed other industry leading enzymes, can you just kind of quantify that because obviously if it just equal or slightly above then you get into the pricing issue, how do you measure that and what do you think you can achieve as you go through the CMAX3 beta, or whatever the next version you talked about?
Adam J. Morgan: Yes, CMAX4 beta.
Mark A. Emalfarb: Well it’s a tough thing because obviously we’re competing with some really big, big companies that have very big resources, but we haven’t have go up a running on their front with their research and development team now, taking the ball and running with it with CMAX3 and they are working on their versions. We are working on CMAX4 beta plus on our own. So we’re continuing to make very good progress, we haven’t hit the wall in terms of cost reductions or better performance. So it’s a tough thing to say whether it’s ball come down to price or. There is more than one enzyme company in the world and there is a lot of opportunity out there in the world and with that to go we have one of the first commercial plans going into effect. So providing there continue to build a plant which is looks like they will. Opened up in Q4, start producing in full-time in 2000 – I guess 2014. We would certainly expect that, that success will continue to lead towards learning more, to reduce the cost and improve the efficiencies and demonstrate to the world that you can make (inaudible) ethanol at commercially viable level. So that’s really the key game point but until that point we are continuing to make better, cheaper enzymes.
Unidentified Analyst: I guess Mike, what I was trying to get a number on and is how do you, if you are slightly better, I mean do you think you can be – and I guess I don’t even know how you measure being twice as good, and if you were 50% or 100% better, does that mean that you – they would use less enzymes, or does that mean that, the process would go faster or you get twice as much as out ethanol out of the – how do we think about what a good enzyme or better enzyme is doing?
Mark A. Emalfarb: Well, I think all the thing you’ve talked about is how you look at it. I mean number one, how much enzyme you use with cost enzyme is, how much sugar produces, how much ethanol you can get from that sugar and what cost, and at what speed and what timeline, is it a shorter process, do we operate at a more neutral pH, which gives us an advantage for like bio-based chemical that might run at pH 6 or 65 there we may have a significant advantage and to get down the pH 5 we may have no advantage, but just because the performance effective or just effective in terms of conversion rates. So I think it sort of a new opportunity in new field, so it's really tough until people have plant have been running to find out where your enzyme fits in those plants and it's fit better, does it fit cheaper, does it improve the efficiencies, as it reduce the timelines to producing ethanol which goes into the cost as reduced the capital expense, so those are things that are just being figured out as we speak and that's why people build for a pilot plant facilities and then commercial facilities the beautiful of Abengoa, is building a commercial facility and you can open that up in Q4 and we didn't have to pay the bill there so it's hard to answer your question because we don't have great answers yet, so that's why I mean vague, we just don't have all of the answers.
Unidentified Analyst: Okay, I'll get back in the queue. Thanks.
Operator: Our next question comes from [Henry Shaw] private investor.
Unidentified Analyst: Yes, hi, good afternoon. Thanks for taking my call. Just a follow-up on the gentlemen regarding CMAX this may be a sensible question but how is the company looking to expand perhaps in Asia I mean the sensitive issue because of prior instances we had, but we not go into that direction and my understand will be showcasing stuff in Nanjing in few months, but I mean Nova enzymes contracts were allow Chinese enzyme (inaudible)?
Mark A. Emalfarb: So are you asking us that we're going to enter China and take the risk of putting our technology there?
Unidentified Analyst: Or perhaps India, I mean that's were a lot of hope is so isn't it?
Mark A. Emalfarb: Yeah, so obviously we are going to put our technology in places that we feel comfortable that they will be protected and will be respected and what size and that’s a creditability of certain companies we would probably put it, certainly in India and possibly in China, but to spend some of the operator in guarantees assurances we have there and we can protect that technology in those countries. So we're not against it, the issue we had in China is nothing to do with this kind of issue. It had something to do with completely different event with the way behind us. So we are not bearing our heads in the sand, we understand this opportunity in Asia who want to exploit those opportunities with the right party at the right time. And so we obviously have discussions ongoing in India and China for both biofuels and bio-based chemicals as well as feed and food and all kinds of other things, so we are not ignoring those opportunities are those markets. That answers your question?
Unidentified Analyst: Thank you, yes sir.
Operator: (Operator Instructions) Next we have a follow-up question from Richard Deutsch with Ladenburg Thalmann.
Richard Deutsch – Ladenburg Thalmann & Co.: Yeah thank you again for taking my next call. As a technology developmental company, I’ve been especially impressed with the fact that you’ve already signed up five existing significant company seasonal some of the names we haven’t received. And relative to your market capitalization, I find this extremely comforting and compelling, but you are not looking for your first or second score. On these five contracts that are moving down the pipe towards commercialization, what kind of values could you attribute to them? And which one out of the five, the two animal feeds, the human food and the two biofuels, which one seems to be the one that has the most financial promise, if you can distinguish between them? Thank you.
Adam J. Morgan: I think [other old] financial promise, some of them are double, some are triple, some are home runs, and some to be grand slam. So if we can make cellulosic sugars cheap and abundantly at low-cost that obviously – that’s $500 billion to $1 trillion market opportunity and I reported that part of that could be quite substantial. So I mean that’s huge. Obviously we made vaccines, quicker, better and cheaper. It normally can help us in getting to the vaccine world with one of the largest vaccine in therapeutic protein companies, but it could lead us in the therapeutic proteins and other enzymes that can be used for C1, could open up the floodgates there as well. The animal nutrition business is real, we sell products in that filed ourselves today, we are working on our own next generation products, we are working with one of the largest people in that industry today and another large company there and have a variety of other people interested in that. So I’ll take the double, the single, the triples and hopefully hit the grand slams and home runs somewhere down the road and the sooner we hit those are better and speaking of the five or six licensees we have today, you are right, they are very respectable, they’re very large, there are leaders in each of their field, and I think that the new one coming up that we expect to get signed will be a bigger opportunity and I think people will recognize the company and it give us the creditability in respect that we deserve.
Richard Deutsch – Ladenburg Thalmann & Co.: Let me just follow-up for a second on the subject here, as my perspective of course is, trying to tell investors what the financial impacts might be, out of these contracts which one would you feel and just not a projection on projects (inaudible) your own knowledge of where you've got, which one do you feel are absolutely going to come to fruition, for getting how big they are, but basically how for committed and how evident is the commercialization going to be, which one animal feed, human food or biofuels do you feel is pretty certain to come out to commercial reality and royalties for the company.
Mark A. Emalfarb: I really don’t want to project that or make those comments...
Richard Deutsch – Ladenburg Thalmann & Co.: Are they are speculative than Mark, they all basically still quite possibly do not going to be successful or they further down the line?
Mark A. Emalfarb: Some of them are obviously further down the line, and some of them are speculative, and some of them are somewhere in between speculative and further down the line. So I'm not going to give you which one or and which ones are better or more likelihood of happening, but certainly we believe some of the them will happen and which ones of those we can share with you, but certainly some of them will happen will all of them happen, who knows hopefully they will, and hopefully will get more in additional people as well, but we do expect some of them to turn the commercial products and the timelines we just mentioned. Animal nutrition we specifically told you, we expect sales to becoming 2016 and even earlier for countries that in fact it’s just hard to register. So obviously you can take from that that one we expect to be successful.
Richard Deutsch – Ladenburg Thalmann & Co.: All right, well does answer my questions. Thanks Mark.
Mark A. Emalfarb: Okay.
Operator: And as I’m showing no further questions – I do apologize we do have a follow-up question from (inaudible).
Unidentified Analyst: Hey Mark, I may have missed this. In your discussion earlier, but can you comment on the company’s efforts to secure additional R&D collaborations in the biopharmaceutical area. I mean because as far as we know Sanofi is the only R&D collaborator that the company has. Can you just comment on your efforts and what you see as additional opportunities to bring in other research and development revenue which could lead to potential licensing of the C1? Thanks.
Mark A. Emalfarb: Yes, we are in discussions with a couple of other companies and we’re trying to come to terms with what research and development programs we can put in place that will fund. And from that obviously where we get funding and hopefully lead like a Sanofi with the deeper relationship, and hopefully then lead towards commercialization of a product, and hopefully then lead towards their desire to get their hands on the platform. So we are in discussions with a few more people, companies, and the well-known names as well. But those haven’t consummated yet, and some of them are look like they might happened, but we are still going through the different gyrations of getting those done.
Unidentified Analyst: Thanks.
Operator: Thanks. We have follow-up question from Robert Hoffman with Princeton Opportunity Partners.
Robert Hoffman – Princeton Opportunity Partners LLC: Yeah Mark could you just see 25 million gallon project that haven't gone as putting up 25 million measures what is that annual, is that monthly what production rate is that?
Mark A. Emalfarb: Yeah that's an annual production rate of that particular facility.
Robert Hoffman – Princeton Opportunity Partners LLC: Okay.
Mark A. Emalfarb: And that's a pretty good size ethanol facility although typically in the clean ethanol business they run about 50 million gallons some of them 100 million gallons. But this is really commercial scale and hopefully it is successful with that and the opportunity and they see and money they put into that facility to build more and then license the technology all to other people and expand that across the globe.
Robert Hoffman – Princeton Opportunity Partners LLC: So you not able to give us any sense of what a facility like that might or may not generate for you guys?
Mark A. Emalfarb: Look, I mean, we said, we're going to generate a milestone payment of royalties what those are we can’t tell you, but there is fairly good and that's one plant and obviously we want to see five or 10 more than we want to see 20 more. So this is the one of the first commercial plants worldwide being built and they've got a big investment and the capital expense in that and a lot of already invested and they one of the best in what they do. We anticipate that there will be successful and we will learn and continue to drive across down and make it even cheaper, and hopefully that will launch availability for Abengoa to build more plant and as well the license technology to build plants for their company. And then just builds upon itself, but we get to get the first plant build and the beautiful thing here is we didn’t spend our money to build that plant. So a lot of these companies spend a lot of money in stealing thanks and infrastructure we thankful that haven't go and invested in that and both of our behalf.
Robert Hoffman – Princeton Opportunity Partners LLC: If they decide this successful may want to build another 10 plants, is the royalty set forth the future, or does it go in a plant by plant basis?
Mark A. Emalfarb: Yeah the royalty is set, and whatever plants they build, they know they are going to cost them and over how much time it’s going to cost them, and what the expenses are for that. So that is fully negotiated in [Inc.].
Robert Hoffman – Princeton Opportunity Partners LLC: Got it. Okay, great. Thank you.
Operator: And as we currently have no further questions, I will turn the call back over to Mr. Emalfarb for closing comments.
Mark A. Emalfarb: Coming off a very successful and profitable 2012, we are now focused on 2013 and beyond. If we can continue the momentum we are seeing in each of our business segments and the very least consummate depending licensing transaction I mentioned earlier, we’ll be able to meet in very possibly see our 2012 results in 2013. Our cash position is good, and likely grows as we received the last payment from Abengoa, and consummate additional transactions. I want to thank all of you for being shareholders as it’s important to Dyadic and for participating in today’s conference call. I will now turn the call back to Adam.
Adam J. Morgan: Thank you as well for participating on today’s call. We greatly appreciate your interest in Dyadic and look forward to sharing our first quarter 2013 financial results with you in May.
Operator: And this does conclude our program for today. You may all now disconnect.